John Dolan: Good afternoon, everyone. Thank you for joining us today to discuss our results for our Third Quarter and First 9 months of Fiscal 2026 ended December 31, 2025. Hosting our call today is our Chief Executive Officer, John Lai; and our Chief Financial Officer, Garry Lowenthal; as well as myself, John Dolan, PetVivo's Chief Business Development Officer and General Counsel. Following our remarks, we'll open the call to your questions. Then before we conclude today's call, I will provide some important cautions regarding the forward-looking statements made during the call. Before we begin, I'd like to remind everyone that the call is being recorded in order to make it available for replay later today. The replay link will be available in our Investor Relations section at our website at petvivo.com. Now turning to our results. Our third fiscal quarter represented another period of rapid transformation and platform advancement as we continue to intensify our focus and apply our limited resources on the greatest opportunities ahead of us. Many of these new opportunities were introduced over the course of the past year, therefore, requiring extraordinary attention and focus to ensure their successful launch. Our primary objective has always been to create for our stakeholders the greatest opportunities for rapid growth and market expansion, including strong reoccurring revenues and to support the highest potential value for our company for the benefit of our stakeholders. The clinical validation and broad market adoption of our flagship product, Spryng, with OsteoCushion technology has brought us far along. And now over the course of the last year, it has set the stage for the launch of technology and products that promise to exceed even Spryng's greatest potential. Toward this goal, we have made tremendous progress with new strategic alliances and collaborations with several key partners. This includes Digital Landia, a leading pioneer in Agentic AI solutions. As you know, we signed an exclusive 10-year white label licensing agreement with Digital Landia for its breakthrough next-generation AgenticPet AI technology. AgenticPet's highly valuable and innovative technology features 10 specialized diagnostic AI agents that are protected by proprietary IP and 5 patent-pending innovations. Among this technology's many capabilities, the solution addresses the critical challenges facing today's veterinary industry. This includes skyrocketing client acquisition costs and the difficulty in capturing the fastest-growing demographic of Gen Z pet parents. Following the signing with Digital Landia, we are moving quickly to publicly launch our new PetVivo AI veterinary practice platform that is exclusively powered by this AgenticPet AI technology. PetVivo AI is a new AI-powered Software-as-a-Service platform for veterinarians, which we believe is the first of its kind on the market, providing us what we believe to be a strong first-mover advantage. We engaged an initial select group of veterinarians practices under a beta stage program for PetVivo AI who have been providing us tremendous positive feedback. PetVivo AI has demonstrated in this beta testing to deliver a remarkable 50% to 90% reduction in veterinary customer acquisition costs, lowering it from about $80 to $400 typically spent per new customer targets down to less than $43 per target customer. PetVivo AI then employs automated AI-powered engagement that intelligently converts the leads it generates into paying veterinary customers. This AI-powered solution greatly complements our existing medical device offerings, which we market to our existing network of thousands of veterinary clinics across North America and Europe. Perhaps most importantly, PetVivo AI has created a new reoccurring revenue stream, which has high 80% to 90% gross margins, combined with low CapEx scalability. Interested veterinarians are able to request a free demo of this amazing solution on our newly launched PetVivo AI website where they can experience for themselves the power of this new platform that can transform their practice. In support of the launch of PetVivo AI during the quarter, Digital Landia published a comprehensive technical white paper documenting the AgenticPet AI framework that powers this technology. The paper validates the technical foundation underlying our new B2B platform. It provides veterinary professionals, investors and industry stakeholders with detailed visibility into the multi-agent artificial intelligence architecture that enables transformative clinical and economic benefits for their practice. Given the strength of this report, we expect our PetVivo AI solution to rival mainstream AI applications in terms of adoption rates. We also expect it to create tremendous visibility for our brands, particularly Spryng with OsteoCushion technology and PrecisePRP and eventually, the other new solutions in our product pipeline. The white paper is available to download from Digital Landia's website at digitallandia.com. For our part, during the quarter, we launched an online video explainer that walks you through the 2-part ecosystem of PetVivo AI. It shows how PetVivo AI intelligently connects pet parents with veterinary practices looking for new clients. The professionally produced video explains all 10 specialized AI agents from behavioral scientists to radiologists and demonstrates the complete user journey for both pet parents and vets. If you haven't yet watched it, we very much encourage you to do so as then you will understand why we are so excited about this new offering. Regarding other key new partners during the quarter, we joined forces with Austin, Texas-based Veterinary Growth Partners. As a management services organization, VGP supports veterinary practices with management and marketing tools, consulting and vendor relationships designed to improve their efficiency and profitability. VGP has committed to actively promote our Spryng with OsteoCushion technology and PrecisePRP products to its expansive member network of more than 7,300 veterinary clinic members across the United States. Product training of these veterinarians in their network is currently underway, and we're planning to introduce our new PetVivo AI practice management platform to VGP's clinic membership following this training period for Spryng and PrecisePRP. Also during the quarter, we substantially completed Stage B of our strategic partnership with PiezoBioMembrane, a spin-off from the University of Connecticut, who offers advanced biocompatible piezoelectric materials for implantable and regenerative applications. This important partnership with PBM is furthering the R&D of revolutionary functional biomaterials that can promote regeneration, restoration and/or remodeling of damaged or injured tissue and bone in animals as well as in humans. Stage A of the 3-stage R&D project successfully determined that materials of our respective products can be combined into a single offering and demonstrated its piezoelectric activity, which can potentially provide therapeutic benefits to animals and humans. Stage B has now determined that the combined product can be mass produced at scale and with preliminary indication for safety and administration in animals. Stage C, which is expected to begin in the second quarter of 2026, is anticipated to demonstrate definitive safety and efficacy of this functional biomaterial in animals. Upon successful completion of Stage C, we are also planning to initiate the process for FDA clearance for human applications. We anticipate that these products, these new functional biomaterials may be available for commercialization by the end of this year, 2026 or the beginning of next year, 2027. We have also continued to advance commercial launch of PrecisePRP, a proprietary and revolutionary allogenic platelet-rich plasma, PRP, regenerative product for horses and dogs that highly complements our Spryng product offering. Sold under an exclusive licensing and supply agreement with our strategic partner, VetStem, this product has been receiving favorable reports from veterinarians, especially regarding its ease of use. Part of our commercialization efforts have been to exhibit and research backed benefits of PrecisePRP along with Spryng at various major industry conferences. This includes the American Association of Equine Practitioners Conference held in December that was attended by leading veterinarian, sports medicine and rehabilitation experts. Such events help drive the greater adoption of Spryng and PrecisePRP by expanding awareness among key decision-makers of its effectiveness in the management of osteoarthritis in animals. We also continued to advance our strategic collaboration with Commonwealth Markets, the syndicated ownership group behind the 2023 Kentucky Derby winner. Commonwealth has now integrated Spryng and PrecisePRP into the care protocols of its top-tier thoroughbred stables. These 2 products are now being used as a management solution to promote joint health, extend performance longevity and support recovery in high-impact training and racing environments. This adoption by Commonwealth represents a tremendous validation of the effectiveness of Spryng and PrecisePRP, which we believe will open the door to greater opportunities. During the quarter, we also further developed our entrance of the European marketplace after our engagement of Nupsala Group in the previous quarter. For those unfamiliar with Nupsala, Nupsala is a leading U.K.-based veterinary group that operates as both a veterinary wholesaler and referral provider. Their specialization is musculoskeletal health, orthobiologics, a regenerative medicine for companion animals and horses. Nupsala has begun to inventory, market and offer Spryng throughout the U.K. An initial order has already been shipped and the official education and training of Nupsala's sales force is scheduled to begin before the end of this current calendar quarter. This new international engagement follows our previously announced first entrance into the international market with the signing of Eq Especialidades to distribute products in the Mexico marketplace. We see Mexico as a very attractive market for animal health solutions, especially since the country's veterinary healthcare market is projected to grow at a compounded annual growth rate or CAGR of 11% and reach more than $2.4 billion within the next several years. Personal horse ownership is deeply intertwined with Mexican culture and tradition, which also makes Mexican marketplace an exceptionally ideal one. The European animal health market is also a large opportunity, estimated at more than $16.6 billion today. This market is projected to more than double to $34.8 billion by 2033, growing at a CAGR of 8.6%, which is remarkable for an already large market. On the R&D front, we completed the accumulation of data from the earlier announced canine elbow pilot study conducted by Orthobiologic Innovations, a leader in R&D for regenerative and sports medicine. The study was led by 2 prominent veterinarians, Sherman and Debra Canapp. They are currently working in cooperation with our technical service veterinarians to incorporate the results into a white paper in preparation for submission to industry journals for potential publication. In terms of enhancing our corporate governance during the quarter, we were expected -- we were excited to announce the appointment of Josh Ruben to our Board of Directors. He has brought to us a wealth of experience in healthcare and life sciences finance, capital markets and corporate strategy, along with a proven track record in the execution of multimillion-dollar M&A and capital transactions. Josh currently serves as a Managing Director of Life Sciences at Trinity Capital, which is focused on venture lending to healthcare companies. He previously served in financial director roles with RBC Capital Markets and Wells Fargo Securities. We expect Josh's deep understanding of the life sciences industry and strategic insights into growth stage companies like PetVivo to prove invaluable as we continue to expand our market presence. Now before we get into more of the other exciting recent developments and our outlook for the rest of the year, I would like to turn the call over to our CFO, Garry Lowenthal, who will take us through the financial details for the quarter. Garry?
Garry Lowenthal: Thank you, John. Good afternoon, everyone. Thank you for joining us today to discuss our results for the first 9 months of fiscal year 2026. For this reporting period, we'd like to focus on the results for the 9-month period as a better reflection of our progress, particularly given the change in sales mix during the period resulting from new product introductions. Revenues for the 9 months ended December 31, 2025, totaled $887,000, decreasing only 2% from the same year ago period. Revenues for period consist of sales of our Spryng products totaling $400,800 and PrecisePRP products totaling $486,000. This compared to the same year ago period where sales consist entirely of Spryng. The slight decrease in our revenues for the period was primarily due to a decrease in Spryng product sales, offset by increase in sales of PrecisePRP. In the year ago period, we had a special promotion with our distributors and vet clinics at the Annual American Association of Practitioners Conference held in December. In the fiscal third quarter that was not repeated in the fiscal third quarter of 2026 that just ended in December. This contributed to the lower sales of Spryng in this most recent period. Going forward, though, we plan to reimplement special promotions to incentivize our distributors and veterinary clinics whereby improving sales of our Spryng product. We believe the decrease in Spryng sales was also due to customers opting to use PrecisePRP alone in that conjunction with Spryng. However, we believe the best outcomes would be created by using these 2 products together. We believe renewed efforts to better educate our customers on the benefits of using both products together will help drive greater sales of Spryng in the future quarters. Gross profit in the first 9 months totaled $551,500 or 62.2% of revenues, which was a decrease of $812,000 or 89% of revenues in the same period a year ago due to the lower gross margins of the PrecisePRP product line. We were able to maintain our high gross margin despite increased purchases of lower-margin PrecisePRP finished goods associated with the exclusive license agreement with VetStem, Incorporated and the consequent greater proportion of this lower-margin product in our sales mix. We are exploring ways to improve our gross margin with the PrecisePRP product as well as improve our product mix to include a higher Spryng gross margin. Total operating expenses decreased 2% to $6.7 million compared to the same year-ago period. The improvement was due to reduced general and administrative costs and research and development costs, with this reflecting the strategic cost reduction and restructuring program we implemented last year. Likewise, operating loss increased 2% to $6.1 million from $6 million in the same year ago same period. The increase was primarily due to the increase in sales and marketing expenses related to the rollout of our new PrecisePRP product line, which has been well received by veterinarians in our network. Net loss for the first 9 months was $7.5 million or $0.27 per share as compared to a net loss of $6 million or $0.30 a share for the same year ago period. The increase in net loss was primarily due to unrealized loss on change in derivative liabilities, loss on disposal of certain assets, amortization of debt discount and interest expense on our convertible notes. Net cash used in operating activities during the 9 months totaled $5.3 million. This cash used in operating activities were primarily attributed to our decrease of accounts payables and accrued expenses of $840,000 and the increase in PrecisePRP production and inventory purchases as we ramped up the market demand for this new product line. Now let's turn to the balance sheet. Our current assets totaled $1.4 million at the end of the period ended December 31, '25. In comparison, our current liabilities were significantly reduced to only $980,000 from the same period last year of $4.2 million. And as of December 31, our working capital as of December 31 totaled $395,000. Subsequent to the end of the period, since January 1 of this year, we raised additional capital from exercise of warrants and the sale of equity securities, bringing in an additional $477,500 of additional proceeds. Also notably, our total liabilities decreased to $1 million at December 31, down from $5.1 million on just March 31 in this 9-month period. The substantial 81% decrease in total liabilities in just 9 months was primarily due to the conversion of all convertible notes into common stock extinguishment of our derivative liabilities related to these convertible notes as well as a major reduction in accounts payables due to the settlement of vendors and trade vendors, the reduction of accrued expenses and the termination of a 10-year lease obligation. In fact, our accounts payable decreased 53% from $821,000 just March of this past year, at the end of our fiscal year, last fiscal year to less than $386,000 by the end of December. This highlights our strongest balance sheet in many years. Now this completes our financial review for the period. John?
John Dolan: Thank you, Garry. As I mentioned earlier, the combination of Spryng with PrecisePRP has been receiving very favorable reports from veterinarians, especially regarding their ease of use and effectiveness in the management of osteoarthritis in horses and companion animals. Our successful results led to Health Canada recently acknowledging Spryng with OsteoCushion technology as a veterinary medical device for use in Canada. Canada has recognized how this veterinarian administered intra-articular injection device can support joint health and aid in the management of lameness and other joint-related afflictions in animals. This action represents a major milestone in our global commercialization strategy as the first such recognition by an international regulatory body. As such, it has opened up a large new international market opportunity. The Canadian animal healthcare market is reportedly growing at 6.8% CAGR to exceed $4.4 billion by 2031. The official acknowledgment by Health Canada paves the way for commercial launch in the country. Preparations are underway, and we're currently planning for the official launch at the beginning of the third calendar quarter of 2026. Meanwhile, we will continue to expand the awareness of the benefits of both of these innovative products among key decision leaders, including presenting them at a number of major conferences. As previously mentioned, we exhibited at the American Association of Equine Practitioners Conference in December. Then just last week, we exhibited at the Florida Veterinary Medical Association, Ocala Equine Conference held at the World Equestrian Center in Ocala, Florida. And currently, we are exhibiting at the Western Veterinary Conference in Las Vegas, Nevada. At these events, we demonstrated the research-backed benefits of Spryng and PrecisePRP to veterinarians, including leading surgeons, sports medicine and rehabilitation experts in the veterinary industry. We are planning to exhibit at 2 more major conferences this spring, which are typically significant drivers of product adoption and new sales. The conferences also present the opportunity to share recent studies like our canine elbow study as well as other completed and well-published studies that we have done. We currently have additional canine and equine studies for tolerance and efficacy of Spryng and PrecisePRP in the initial stages of development. We also continue to advance our pipeline of new products. This includes new functional biomaterial and bone mimicking biomaterials that may be used to enhance the delivery of pharmacological agents and/or promote the regeneration, restoration and/or remodeling of damaged or injured tissue and bone in animals and humans. I want to reemphasize another exciting event that occurred in the current quarter, that being Digital Landia's launch of their public access beta to its B2C agentic pet solutions for pet owners. The launch includes access to all of its 10 specialized AI agents, veterinarian, behavioral scientists, nutritionists, geneticists, vaccination specialists, trainer, blood analysis, radiologists, urinalysis and fecal analysis. The launch targets Gen Z pet owners who represent 20% of U.S. pet households and where pet ownership is growing at more than 43% annually. The B2B AgenticPet has the capability to intake animal medical data such as physician medical records, medical imaging and lab results and then assist veterinarians in diagnosing afflictions and diseases and then suggest treatment options. Given how AgenticPet accomplishes this with an amazing 97% accuracy, this technology represents a paradigm shift in how we address the physical health of companion animals. Digital Landia recently reported that the launch of the B2C AgenticPet crushed expectations with the onboarding of 1,000 active beta users in less than 72 hours. They believe this rapid onboarding validates the massive pent-up demand for AI-driven preventive pet healthcare. The fast adoption confirms the market thesis that pet owners are desperately seeking proactive solutions that catch health issues before symptoms emerge rather than relying upon outdated reactive care models. The success of the beta program also strengthens the value proposition of the B2B PetVivo AI solution for thousands of veterinarian clinics in the PetVivo nationwide network. Altogether, our technologies have created an exciting future for PetVivo that is transformative to not only the veterinarians and the patients they serve, but potentially for humans as well. Looking ahead, we expect to see continued sales momentum and market penetration for the duration of fiscal 2026 and beyond. In fact, we have never been in a better position to accelerate our growth and expand across high-growth U.S. and international markets. The U.S. animal health market alone is expected to double to $11.3 billion by 2030. Such massive growth is rare for such an already large industry and provides us strong tailwinds. To better tap the market opportunity, we are in advanced discussions with an outside sales and marketing firm that specializes in our industry and brings our experienced sales team and established distribution network. They would complement our own in-house sales team. We hope to provide additional details on this soon. As we continue to grow and expand over the coming quarters, we will remain committed to advancing the best in pet health solutions and ensure our products reach more veterinary professionals and pet owners with our success in these efforts driving greater value for our stakeholders. Now, I would like to turn the call over to our CEO, John Lai, to provide some insights into some of the recent developments and answer any questions from our listeners. John?
John Lai: Thank you, John. I would like to now open it up to our Q&A session formally. And operator, could you please provide the necessary instructions for our participants to be able to ask questions.
Operator: [Operator Instructions]
John Lai: So I do see a question on there that says updates on getting on the NASDAQ listings. So the plan was not for NASDAQ, but more New York Amex, and we're working towards that. And a function of that is stock price and the life science microcap market is kind of going through a more correctional phase, but we anticipate as future events occur that we will get the necessary pricing that we would like to be able to uplist on to the New York Amex.
Operator: We have a raise hands for the number ending with 619. [Operator Instructions] Number ending with 619.
Unknown Analyst: John, can you talk a little bit about your -- the previous guidance you gave on the last conference call and how you see that guidance in light of this quarter's results?
John Lai: I'm going to let Garry answer that question because I can't recall what guidance we gave. I don't think we gave a guidance. Garry?
Unknown Analyst: I believe it was around -- yes, I believe it was $2 million to $2.5 million for fiscal year.
Garry Lowenthal: I don't recall the guidance you're referring to. Is that in a previous call or a press release?
Unknown Analyst: Last quarter's conference call?
Garry Lowenthal: Okay. Well, we just explained in our half hour conversation of why the revenues were down for the last 90 days. And we have a brand-new product. And like we had said that some of the veterinarians were ordering either Spryng or the PrecisePRP. And now our job is to show through studies that we've already done that having both products work together has better results. We've also got involved in some acquisitions through the Digital Landia as well, and that revenue won't actually kick into the first quarter of our next fiscal year being April 1. And then we have some whole new product pipeline that's actually going to monetize into the middle of the year.
Unknown Analyst: So are you pushing out the uptick in sales? Should we expect the previous guidance that was given to be reflected on the next conference call? How should we think about that?
Garry Lowenthal: I wouldn't look at something that happened 90 days ago. What we did is we -- in the past, we've had big promotions that we had our salespeople have in December of every year. This past December, we didn't do that. We changed the model. It turned out it didn't really work. We have -- we rely on our revenue with the largest distributor in the entire industry. And in the past, we loaded them up in December. So that's why our December and our third quarter numbers were unusually high. And that's what we decided to spread it out more evenly into the fourth quarter and then the first quarter coming up. And the other thing we're doing is we're actually outsourcing to a third-party organization that does -- outsource inside sales, and they specialize and work with all distributors, not just a handful. And so we're enhancing our entire sales organization as well.
Unknown Analyst: One more question. Can you talk a little bit about the CapEx that's going to be required to roll out the education of the veterinarian system in terms of its -- of the Digital Landia platform?
Garry Lowenthal: I'm going to let John Lai answer that.
Unknown Analyst: And who's going to be responsible for that rollout?
John Lai: So there are multiple aspects to that. So one of the things that has occurred is the accreditation organization race. We have 4 different webinars now that have continued education credits to give into the veterinary doctors, and we started onboarding the VGP Group, which is the Veterinary Growth Practices, which has over 7,300 clinics. So that just started to occur on the Digital Landia side, from the standpoint of PetVivo.ai. The onboarding will be part of our current clinics to put them into the system, so they're able to use it to see how efficient it is for them because the open architecture platform allows them to load the app and the app will go on any existing system that the vet is using to gather the data for the vet. So the onboarding time is greatly reduced. So the vet doesn't have to go into this application, go into that application to pull x-rays, go into that one to pull urology or urine analysis. This does it all for the vet. So they're able to do actual vet work in looking at the diagnosis. Also, when you're allowing -- so that's why it takes time to allow them to build out the B2C side. So each vet that comes in, they say, I want to look for potential new customers within a 5-mile radius that may have osteoarthritis issues with their dog or cat, it would automatically provide them with a very good detailed list of potential customers, and then they're able to reach out to those customers and offer them specials on vaccine or Spryng product that may fit their current situation. So a lot of it is going to be influencer-driven as the model indicates that influencers will get a residual commission on the B2C side as they bring people into the B2C. So it's a dual ecosystem, one feeds on the other. So that's being built up right now. They're probably at over 30-some thousand that have signed up to get the system. And I don't have the count on their side exactly how many are using the system, but they've been limited to 100 users a day by giving access codes where they can get in and get the full functioning system for the B2C. But we're not far away from launching our B2B.
Unknown Analyst: And PetVivo is going to recognize revenues from the implementation from the vets implementing.
John Lai: Yes. Yes, correct. Yes, because we're able to show the vets, they're saving significant costs. So it's a true SaaS model that has the economics, financials and convenience for the vet that we believe we're changing the ecosystem for them and the clinic ownership's revenue source or potential earnings source is greatly enhanced using the PetVivo.ai system.
Unknown Analyst: So does that -- just so I understand, that needs to sign up download the PetVivo Agentic AI system, reap the benefits of that sign-up through new customers, graded information from those customers, correct?
John Lai: Correct. Correct. That and chances are because we have these partnerships and their Spryng users, we'll probably do some early promotional to get them on board. And so once they -- we feel once they try the system, the conversion rate into a paying customer is going to be pretty high.
Unknown Analyst: I guess my question is who's going to support that ecosystem?
John Lai: That's all part of Digital Landia's contract. They provide continued updates. They're providing the functional system. And so they would be doing that. Our CapEx is very minimal from that standpoint. So we would be -- our expenditure in that area would be more soft dollars of promoting to veterinary clinic groups that may have a big influence on a large group of clinics.
Unknown Analyst: Do you have expectations for revenues and P&L a year or 2 year about?
John Lai: No, no, not on the pet side because we have a general idea, but we're not giving any guidance yet.
Garry Lowenthal: And by the way, that revenue it's a recurring revenue model. So it's monthly recurring revenue when it kicks in. So that's -- those that convert to the fee paying. You go from freemium to what's called premium model. And again, the important point that John Lai talked about was it's very little CapEx cost for us. That's Digital Landia. That's their responsibility.
John Lai: Well, but it also will help reduce our cost to reach out to customers being the veterinary doctors of Spryng and PrecisePRP and other products that we'll be introducing into the network as well as using the B2C component where we will be able to push ads towards people that have osteoarthritis issues or lameness issues or potential rehab issues.
Unknown Analyst: Okay. So you view Digital Landia or PetVivo's AI as a direct-to-consumer marketing.
John Lai: No, that's one. It's more veterinary doctors focused, but because it's a dual ecosystem, we're able to do both. So we're able to -- as the vet goes, okay, I want to see who in my 10-mile radius may have severe case of osteoarthritis. They can search that network within the 10-mile radius, still have a list of potential customers that aren't customers of theirs. They can offer them a special promotion to come in for the exam. They may say the exam is going to be $10. So VCA has been launching a model like that, where they open a new clinic, the first visit is free, just to get people in the door to develop a lifetime customer. Well, our app will create a much better experience for the pet owner as well as the veterinary doctor where they're more inclusive into the health of the animal because they're working together on doing the diagnostics and the pet owner now has a good understanding of what the vet is telling them in terms of what needs to be done. So it's really -- you're building the trust between the vet and the pet owner.
Unknown Analyst: At the beginning of the call, you mentioned -- I believe you mentioned that Digital Landia's PetVivo.ai platform should have the same adoption rate as the current AI platforms. Are you talking about the large language model platforms like ChatGPT or what platforms are you referring to?
John Lai: So subscription model platforms is generally around 20-some percent that actually end up paying for the system, like Sofie, which is a veterinary system. I think they have like 25% of the people that try the system will convert into a full-time regular customer.
Unknown Analyst: Okay. So it's not based around AI models, it's based around subscription models. Correct?
John Lai: Yes, it's a SaaS model, but it's based on AI where we're giving a much better outcomes and platform and operating efficiency, but it's still you're selling a service. Is there any more questions?
Operator: [Operator Instructions]
John Lai: So if there's no more questions, operator, I would like to conclude the Q&A session. And then I would like to thank everyone for joining us on today's call and look forward to updating everyone again in the fourth quarter and full year results. As always, take care, and thank you for joining us. But before everybody goes, John Dolan, will you please go ahead and wrap up the call and give all the necessary disclosures.
John Dolan: Thank you, John. Now before we conclude today's call, I would like to provide the company's safe harbor statement that includes cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to, statements regarding the company's future revenue, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will, or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statements made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but not limited to, various risks as detailed in the company's periodic report filings with the U.S. Securities and Exchange Commission. For more information about risks and uncertainties associated with the company's business, please refer to the Management's Discussion and Analysis of Financial Conditions and Results of Operations and Risk Factors sections of the company's SEC filings, including, but not limited to, our Annual Report on the Form 10-K and quarterly reports on the Form 10-Q. Any forward-looking statements made during the conference call speaks as of today's date. The company expressly disclaims any obligations or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statement is based, except as required by law. I would like to remind everyone that this call will be available for replay starting tomorrow. Please refer to today's earnings release for dial-in replay instructions available via the company's website at www.petvivo.com. Thank you for attending today's presentation. This concludes the conference call.